Executives: Michael J. Cooper – Vice Chairman and Chief Executive Officer  Mario Barrafato – Senior Vice President and Chief Financial Officer  Ana Radic – Chief Operating Officer
 :
Operator: Good morning, ladies and gentlemen. Welcome to the Dundee REIT First Quarter 2013 Conference Call. For Thursday, May 9, 2013. During this call management of Dundee REIT may make statements containing forward looking information within the meaning of applicable securities legislation. Forward-looking information is based on a number of assumptions and are subject to a number of risks and uncertainties, many of which are beyond Dundee REIT’s control that could cause actual results to differ materially from those that are disclosed or implied by such forward-looking information.  Additional information about these assumptions and risks and uncertainties is contained in Dundee REIT's filings with securities regulators, including its latest annual information form and MD&A. These filings are also available on Dundee REIT's website at www.dundeereit.com. Your host for today will be Mr. Michael Cooper, Vice Chairman and CEO of Dundee REIT. Mr. Cooper, please go ahead.
Michael J. Cooper: Good morning and welcome to our year end conference call. Today I’m here with Mario Barrafato and Ana Radic. Ana will go over our operations and Mario will go through our financial statements. But first I’d like to make a few comments. In the first quarter of 2013, it was back to our normal business. After first half of 2012, that was huge, Dundee sold $680 million of assets to become a pure play office REIT, basically all of the reconfiguration of companies completed by the end of 2012 and we ended last year exactly we wanted to. With the beginning of this year, as you will hear from Ana, we made great progress leasing our buildings and managing our business. We made two acquisitions in downtown Toronto this year with a purchase of 74 Victoria Street and 20 Toronto Street. 74 Victory Street spans from Victoria young and is directly opposite the Bay Adelaide east new building. 20 Toronto is nearly attached to 36 Toronto which is a building we already own. We acquired these two buildings at just under a six cap in year one, but it increased to about 63 quarter cap by year two. The returns are compelling on their own over 20 Toronto. We have most of the block powered by Victoria and Toronto from Adelaide almost to King. 74 Victoria Street will be a great development site one day. To generate the returns we're getting, while we own more and more downtown Toronto we will provide our business with a lot more value than just the current income. Ana mentioned at our annual meeting yesterday that we're the largest office landlord in the Greater Toronto Area. We are also one of the largest landlords, we are also largest landlord in Edmonton, we own 25% of the office space in Saskatoon, 15% in Regina. All in all, we own over 24 million square feet of office space, which is about 4% of the total office space in the country. We believe that our portfolio will continue to prove itself out over many years as a safe and secure source of income with intrinsic value that reflects not just the current income but also the scarcest of the assets and the value of the underlying land. We will continue to add to our portfolio as we find appropriate additions at prices that make our business better.  As Ana demonstrated yesterday, the value of our assets benefits from our diverse holdings in each city so we can commandeer as they grow regardless of whether it’s during or at the end of their lease. What I’m most pleased about is that we can demonstrate the improved asset quality on our portfolio. We have also reduced our debt level by 400 basis points over the last year, so that we’re now down at 47% debt on a portfolio wide basis. Now the cost of reducing our debt by 400 basis points is not insignificant. We have used money to pay down our debt saving 3.5% for every dollar of debt, that would be the interest cost and it pales in comparison to the return on equity. In fact, the 400 basis point reduction in our debt has probably cost us about $0.08 of AFFO per unit per year. But we believe with the long run our business will be a better business with lower debt. But notwithstanding that we reduced our debt so dramatically over the last year, we have still been able to generate growth in our AFFO, which has reduced our payout ratio even though we have made an increase in our distribution. Over the next few years, we’ll continue to focus on growing our AFFO, so we can reduce our payout ratio further, increase our distributions more from time to time, and we will continue to improve our business from the base that we already have. Ana, will you address our operations?
Ana Radic: Yes. Thank you, Michael, and good morning. Office markets across Canada performed strongly in 2012 with over 4.3 million square feet of space absorbed and a national vacancy rate, concluding the year at a healthy 8.5%. Eastern Canadian markets led by Toronto continue to make positive strides in the first quarter of 2013, absorbing just under 300,000 square feet in both downtown and suburban markets. Toronto’s downtown vacancy remained at a historic low of 4.4%. In Calgary, the percentage of vacant space via sublet jumped to 43% this quarter contributing to 500,000 square feet of negative absorption. We would add the caveat that in Calgary sublet space has benign to be pulled off the market as quickly as it is made available. Calgary continues to post the highest average Class A asking rent at $40.53 per square foot. Turning to our portfolio at a macro level, it continues to outperform with our committed occupancy a healthy 94.7% above the national industry average of 91.5%. We have seen occupancy slipped 40 basis points quarter-over-quarter, the primary drivers being 69,000 square foot tenant Jacobs Engineering leaving high field place in Edmonton, 20,000 square feet of contraction by the Alberta government in suburban Calgary and negative absorption of 21,000 square feet in the Toronto suburban west market. Proactive renewal and new leasing strategies are being employed across all markets to attract new users to our portfolio. We are seeing good demand for all products in downtown market as employers increasingly migrate to the strong central areas in Canada in order to attract employees. Year-to-date we have completed 600,000 square feet of new leasing and have renewed 1.7 million square feet 67% of our 2013 expiries. Overall, new lease deals were completed at rents 5% higher than market rents and renewals approximately 7% over expiring rental rates. I’ll now provide a few comments on our key markets. In Calgary, the first quarter of 2013 was marked by deceleration in leasing activity in both the downtown and core suburbs resulting in a resurgence of a sublet market. Downtown and suburban vacancy rose to 5.7% and 12.4% respectively with sublet lease accounting for a significant portion of this vacancy. Most initial reactions point to a temporary slow down in pipeline development and reduced budgets in oil temp projects as being the driving forces behind this change. It is certainly a possibility that many of the company’s currently marketing sublease space may reclaim their sublets in the future.  In downtown Calgary, our portfolio has continued to perform well, with occupancy remaining steady at 95.5%. For the balance of 2013, we have 181,000 square feet of roll over exposure with the largest pocket of space being 54,000 square feet at 4447 avenue. Subsequent to quarter end, we concluded two transactions for this space. The first transaction with Trident Exploration to lease 27,000 square feet at rental rate 50% higher than the expiring rent. And second, a conditional transaction for the remaining 27,000 square feet.  We have also just leased 14,000 square feet of vacant space at 405 Fifth Avenue to Chevron. All transactions were concluded at average rental rates well in excess of the previous expiring rent. We continue to market the National Energy Board’s mid-2014 expiry of 100,000 square feet and are recently seen success demonstrates the demand remains strong for well located space in Calgary. Occupancy in our suburban portfolio dipped this quarter as a result of the anticipated downsizing of the provincial government tenancy. Overall leasing activity in Calgary remains strong with 194,000 square feet of newer lease transactions completed year-to-date at rental rates in line with market rental rates and 247,000 square feet of renewals concluded at rental rates 23% above expiring rent. The Edmonton office market experienced modest leasing activity during the first quarter of 2013 with 17,000 square feet absorbed in the downtown core and 43,000 square feet of space absorbed in the suburbs. Our downtown portfolio consists of seven buildings totaling 1.2 million square feet and ended the quarter with occupancy falling to 87.9%. As I mentioned, this decrease was solely as a result of the anticipated move of Jacobs Engineering from Highfield place as they consolidated operations into GE Capital's First and Jasper redevelopment. With larger blocks of space and limited supply in downtown Edmonton, seen increased tour activity here as well as the BMO building. At HSBC place we are currently in discussions with the city of Edmonton to expand them in the building. The Saskatoon and Regina office markets remain very tight, though both markets experienced slight blips this quarter that increased vacancy to 3.8% and 4.3% respectively. Occupancy in our Saskatoon portfolio increased 40 basis points to 95.9% upon completion of an expansion with TD Bank at Saskatoon Square. Occupancy in Regina remained unchanged at 99.6%. Turning to Eastern Canada, Toronto represents a very big component of our office portfolio with the addition of 20 Toronto Street and 74 Victoria, we now own over 5.1 million square feet of office space downtown, the majority in the financial district. The first quarter of 2013 saw occupancy in the overall greater Toronto market rise 30 basis points to 91.7% at 330,000 square feet of space was absorbed. The financial core experienced modest negative absorption of 115,000 square feet, however, it should be noted that this note of 20 million square feet still maintains a vacancy rate of less than 5%. In our downtown portfolio, the year commenced with a respectable level of activity with 48,000 square feet of new and expansion transactions and 25,000 square feet of renewals completed. We achieve significant rental rate growth on renewal transactions, resulting in a spread of approximately $4 with expiring rents and new transactions exceeding market rents by more than $0.90 per square foot. Last quarter we reported that Borden Ladner Gervais a tenant of Scotia Plaza had completed a transaction in a new development downtown. We are engaged in proactive discussions with our major tenants whose leases are expiring in the coming two to four years. And we are also very pleased with the level of interest in tour activity we’ve had with the limited space we have available presently at Scotia Plaza.  We're very happy to report that subsequent to quarter end, we have concluded negotiations with Miller Thompson to extend their 100,000 square foot lease of Scotia Plaza for a further term of 10 years to 2026. We have also leased 4,000 square feet of ground floor retail space that will bring an exciting new restaurant into the downtown core by the end of this year. Finally, we are in discussions to expand a 10,000 square foot tenant at 36 Toronto into 60% more space at Scotia Plaza, both transactions will generate net rental rate growth and longer lease terms.  Our downtown portfolio is extremely healthy at 96.9% occupied and our buildings will continue to benefit from the strong fundamentals of the Toronto market. The average occupancy of our suburban Toronto portfolio decreased marginally in the first quarter of the year to 93.4%. New and expansion leasing of approximately 20,000 square feet was completed in the quarter while proactive renewal and new leasing strategies continue to be employed to ensure the stability of this portfolio. This resulted in a 150,000 square feet of lease renewals being finalized in the quarter helping to reduce our 2013 lease exposure from a 11% to 7%. We completed a 70,000 square foot lease extension and expansion of Parmalat Foods at 405 The West Mall, while SNC Lavalin continues to be a positive source of occupancy growth at West Metro Corporate Centre. We continue to face occupancy challenges in our airport road and are investing in building improvements in this area. We expect larger tenants will look to remain centralized and will be attracted to this location by its proximity to the 400 series of highways, the transit options, and lower gross rents that the suburbs can offer. The southwestern Ontario region and our portfolio throughout the region continue to display stability during the first quarter of 2013. Occupancy in the Kitchener Waterloo region remained above 90%. London office market experienced 67,000 square feet of positive absorption resulting in quarter-over-quarter occupancy increasing to 86.7%. Our southwestern Ontario portfolio saw 40 basis point gain in occupancy due to leasing of space in the Kitchener Waterloo region. We're also seeing increased demand in the London market as we are in active discussions that could see after 25,000 square feet of vacant space absorbed by year-end. Turning to the Ottawa market, modest occupancy gains in the first quarter of 2013 were fueled by 20,000 square feet of absorption the CDD reducing the vacancy rate by 10 basis points. The suburban markets saw similar 10 basis point drop in vacancy. The occupancy rate in our 1.2 million square foot Ottawa portfolio decreased this quarter due to just under 10,000 square feet of negative absorption in Canada. Tour activity in Canada remains brisk and several prospects have expressed interest in the space we have available. Our downtown portfolio remains virtually full and we have completed just over 25,000 square feet of lease renewals in downtown Ottawa at or above in place rents. In Montreal, 2013 has commenced as 2012 concluded with negative absorption of 160,000 square feet across the Greater Montreal Area. Specifically in regard to our Montreal portfolio, occupancy remained at well above the market at 95.7%. We continue to benefit from the stability of long-term leases and anticipate organic growth from our existing strong tenant base that will increase NOI and occupancy. I will now turn things over to Mario.
Mario Barrafato: Thank you Ana, good morning everyone. Q1 was a relatively quiet quarter from a transaction perspective. It was very active in terms of acquisitions, financing, leasings, that have or will close subsequent to the quarter. The significant events reflected in our Q1 result include the acquisition of Broadmoor Plaza in Edmonton for $84 million at a cap rate of 6.8%. The sale of three non-core retail properties for proceeds of $21.5 million and Dundee Industrial REIT repaying in full of [$80] million promissory note that was issued as part of the October IPO. For the quarter our IPPO for the period was $0.61 per unit up from $0.57 in Q4. FFO for the quarter was $0.72 per unit up from $0.68 in Q4. These results reflect the investment and also the proceeds from the sale of the industrial portfolio late in Q4 to redeem a significant proportion of our convertible debenture data to acquire the 50% interest in the State Street building here in Toronto. Included in these numbers was the lease termination income of 546,000 that was offset by a $100,000 increase in seasonal operating costs and development property in Yellowknife. From an operational perspective, fundamental for our portfolio remain very strong. We continue to maintain high overall occupancy level and see our in-place rents continue to rise. Our comparative occupancy level did decline by 50 beats from the fourth quarter due to two specific vacancies, with the largest being in the downtown Edmonton property. We continue to have strong leasing activity, completing 713,000 square feet during the quarter our debt to be 7% for renewals and 230,000 square feet were from new tenants.  Our year-over-year comparative property NOI growth was 0.7%, but adjusting for the impact of some of the lease terminations, it would have been now 1%. As Ana mentioned, the fundamentals in the majority of our markets were strong. Today we’ve leased 67% of our 2013 expiries. Overall leasing spreads are 12% over expiring rent with a 7% positive spread on renewals, and we are competing deals at market rent higher than our original estimates. The fundamentals are strong; our focus is to maintain occupancy. All of our debt metrics are stable, our debt ratio decreased to 47.3% from 48% at the end of Q4, and our weighted average interest rate remained at 4.5%. Variable debt increased as a percentage of total debt as a result of drawing on our revolving line to buy the Broadmoor property. Going forward, we will place this debt with longer-term permanent financing.  Subsequent to the quarter, we’ve been very active on the transaction perspective. We’ve closed to 217 million of acquisitions in Q2 and have an additional 105 million under contract. The average cap rate on these acquisitions is 6% or 6.3% including property management fees. To date we’ve raised $230 million in equity that closed on May 1 and we're still working on permanent debt financing but anticipate 47% debt with an average term of seven years and interest rate of 3.5%. In addition, we have three mortgages that will close in the second quarter with proceeds of $126 million with an average term of 8.3 years and an estimated interest rate of 3.6%. The original mortgages totaled $86 million and were at a rate of 6.1% so the annual savings will be around $2.2 million. Year-to-date we've been able to improve our business by growing our portfolio in strong markets across the country maintaining a low debt ratio and extending of our debt maturities. Overall, I am very pleased with the condition of our balance sheet and our cash flows. I’d like to turn the call back to Michael.
Michael J. Cooper: Thank you, Mario. Thank you, Ana. Marielle at this time will be happy to answer any questions people may have.
Operator: (Operator Instructions) Our first question comes from Mark Rothschild. Please go ahead.
Unidentified Analyst : Hi, good morning.
Michael J. Cooper: Good morning, Mark.
Unidentified Analyst : You talked about the properties you own in the downtown core Toronto, and you have been selling some assets, is there any thoughts or focus to doing a larger disposition program and improving the quality of the portfolio or exiting any specific markets or sub markets?
Michael J. Cooper: Mark, I'm thinking what other CEOs might say when an analysts suggests to them that some of their properties are perfect. We are very happy with where our portfolio is, I don't see any desire to make any massive shifts in what we own, we're very happy with that and believe that most of our portfolio is going to be very valuable to own over the long-term. What I do see us doing is slowly selling individual assets, or maybe a couple of assets together where we think that we've got, we can get a good price or it's a good long-term decision, but I just don't see any massive changes. We are really quite content with where we are now.
Unidentified Analyst: Okay. And then secondly, maybe this is for Ana in regards to the Barclay's Center, can you give us information on any tenant improvement costs for the new tenant baseline for the vacancy. And secondly when – if you could remind us when, any of the lease expires and should we expect any downtime in that space before a new tenant could take occupancy and how that leasing would be going?
Ana Radic : Okay, let’s answer your first question. Actually the leasing costs were fairly minimal with the firm transaction, that's the one I can give you more details on. It was actually concluded with a tenant who could utilize the majority of the existing improvements. And for our total costs including broker fees and so forth were about 20 a square-foot and that was a 10-year transaction.  With respect to the NEB space they expire in mid 2014 and we would experience some downtime to facilitate the fixturing of a new tenant entering that building. So I would expect that would be two to three months. We're seeing good tour activity and there is very limited large blocks of space that are currently available in the Calgary market. So I anticipate us leasing the space in advance of the expiry, but we will have downtime for fixturing.
Unidentified Analyst: And can you remind us what’s the rental is? I know there was a change in the rents, when they took an extra year. And what impact would this have on, I guess it would be Q3 next year?
Ana Radic: Yes, they are paying 44, 45 square foot rental rate because of the one year term. So market is a little bit below that. So we would see a marginal drop in NOI. But it’s still well in the high-30s, low-40s for downtown centrally located buildings in Calgary.
Unidentified Analyst: Okay, great. Thanks a lot.
Michael J. Cooper: Thanks, Mark.
Operator: Our next question comes from Sam Damiani. Please go ahead.
Unidentified Analyst: Thanks, good morning. Just on the acquisitions there, just to clarify, the 6% cap rate includes everything except for Broadmoor, but includes the stuff that's under contract, is that correct?
Mario Barrafato: That's correct. So you can view that on Broadmoor to the fixed cap.
Unidentified Analyst: Right. And then can you tell us a little bit about the types of properties that are in that $105 million?
Michael J. Cooper:  Sorry, I couldn’t hear the last part of the question?
Unidentified Analyst: Just what types of properties are in that $105 million pool of under contract acquisitions. Are they CPD, Toronto...
Michael J. Cooper: Yeah, the majority of it is high quality building in downtown Toronto. 
Unidentified Analyst: Okay.
Michael J. Cooper: And the other one is, we haven't disclosed it yet, but it's also in downtown Toronto it's not a big building, but we are pretty excited. So both of them are downtown Toronto buildings, one is right in the financial core and one is right in the neighborhood where the three new 90 story buildings proposed by David Mirvish, so we're pretty excited about that neighborhood too.
Unidentified Analyst: And so the timing on the closing of these two deals would be what Q2 or?
Michael J. Cooper: Yeah, I think there both Q2. One may last a little longer, but it should be done this quarter. Those two deals should be done this quarter. There’s one small building of Regina that will be done in the third quarter.
Unidentified Analyst: Okay. And just beyond that, is there a number – a pipeline number you'd be willing to discuss today that you're expected to a close on for the balance of the year?
Michael J. Cooper: The buildings are very expensive right now. There is lots of competition, there is a building that was just put under contract in New York, that was a pretty high-price. So we are picking our spots. We've got the financial capacity, whether going to the equity markets do basically whatever we want. But again I think we are really fine tuning and there is big opportunity that come up that would be interesting, but for the most part I think we will be picking off individual buildings. If you wanted to say around $200 million for the balance of the year that's probably not going to be a bad estimate. I think that’s a kind of number I might estimate.
Unidentified Analyst: All right, okay, and so just looking at the vacancy now, it did drop during the quarter. Those two or three specific leases, did those take effect at the start of the quarter, the end of the quarter, or an average throughout?
Ana Radic: It sort of average probably between the Highfield and the suburban Toronto leases and so forth, sort of mid-year, Highfield was at the end of – their expiry was the end of December [2000], December.
Unidentified Analyst: Okay. And just looking at the occupancy overall, I mean there's no question the portfolio quality has increased significantly over the past number of years. But, yet the overall occupancy is at a relatively low level compared to the historical range for the REIT. I mean any comments as to where you think that should be on a stabilized basis in the context of today's leasing market? 
Ana Radic: Well, I think stabilized, and now as we’ve increased our concentration in the CBD district, I think we will see an increase overall and likely 95.5% 96%, it’s a target for us and its well above the industry average.
Unidentified Analyst: Okay thank you.
Michael J. Cooper:  Thank you.
Operator: (Operator Instructions) Our next question comes from [Mario Saric]. Please go ahead.
Unidentified Analyst: Hi good morning.
Michael J. Cooper: Good morning.
Unidentified Analyst: With respect to the Toronto acquisitions, Michael I think you mentioned that it's a 6% going in cap, and then by year two 6.75% what's really driving that pretty impressive 75 basis point jump?  
Michael J. Cooper:  I said it’s just under 6 it’s about a 5.9 cap. They are contractual step ups, so there's not much in the speculative, so it’s just really waiting around a year to get there.
Unidentified Analyst: Okay. And then maybe a broader question just in the overall environment, the supply or potential supply growth in Calgary, as well as Toronto, is starting to pick up a bit of traction. How do you look at the supply/demand environment today and where it may go in the next six months and how do you position yourself for that environment going forward? 
Michael J. Cooper: I think that we are pretty cautious about the new supply, and we like the buildings that we have. They are pretty much full. It seems like most of the time, if we lose a tenant, other tenants in the building want the space. So I think what we have, is a lot of traction. Each market is different. I find it fascinating that Deloitte is leaving five buildings to move into Bay Adelaide, and that's just how much we need some new buildings. But I think we're in pretty good shape.  The Toronto market is very different than Calgary. I think Toronto's office market is growing. I think the Toronto office market downtown is growing. So we’re pretty content with where we are here. In Calgary I’m glad we don't have 63% of our net operating income coming from their like we did in 2008. But again, I think we've got really we'll located buildings and that market is strong market with strong job growth. I think the numbers of people moving into Alberta last year was a record or something. It's pretty good out there, and they definitely need to deal with their growth, and they do need new buildings, it's a little bit chunkier than would be ideal. But I don't think we are too fussed about it.
Unidentified Analyst: Okay. And given I guess your smaller average tenant size, the prospects of a Deloitte type situation where you have a tenant going from four or five of your buildings into let's say a new build two or three years from now is probably pretty low, I'd imagine.
Michael J. Cooper: Yeah I think our average tenant size is 9,000 square feet, somewhere between 9,000 to 10,000 and lot of our tenants in a lot of our buildings, they like our buildings because they are relatively low-cost and they're tenants that new buildings are designed for. Most of the new buildings are looking for a 40% or 50% lead tenant, and then somebody takes four more floors each and they are certainly not looking for one quarter, one half floor tenants.
Unidentified Analyst: Okay. And then the last question, just on the development potential at 74 Vic, I'm wondering if you can maybe just highlight what some of your thoughts are there.
Michael J. Cooper: Bruce, do you want to comment on? 
Mario Barrafato:  Bruce Traversy is in the room. 
Bruce Traversy: Hi, yeah and I think this is true of a lot of our downtown buildings. The site right now is probably developed to six times coverage over the long-term as the Adelaide gets built, that second phase is under construction. We believe that, that section of Yonge Street will vastly improve and although we have a long-term lease in place at the end of that lease or if at the end of that lease we need to find a tenant another alternative may be to go to development. It's a big site, it runs from Yonge Street all the way to the Victoria Street. And whether it's got value to a residential developer or value as an assembly for office development. I think or some sort of mixed used development. There just aren’t many sites like that left in downtown.
Unidentified Analyst: Right. And I may have missed it, but when does that lease run to?
Bruce Traversy: Those reasons run to about I think it’s 2018.
Unidentified Analyst:  Okay. And would it be fair to assume or say that the two potential acquisitions in Toronto would have similar type development potential going forward?
Michael J. Cooper: They very different, one is historic and has that potential the other one is built-out. It's a fantastic building, and it is as the highest and best used as you known.
Unidentified Analyst: Okay thank you.
Michael J. Cooper: Thanks a lot.
Operator:  And next question comes from [Bob Spitty] please go head your line is open. Your line is now open, if you like to un mute your line to ask a question.
Unidentified Analyst: Hello? 
Michael J. Cooper: Good morning.
Unidentified Analyst : Oh. Good morning. This is a [Bob Spitty], private investor. A question, I'm not sure you are able to answer it. What are your plans for your shares in the industrial assets company?
Michael J. Cooper:  I think it’s a great question. We look at another source of capital, I don’t think that it's strategic, but as Dundee re-sponsored the creation of Dundee Industrial REIT, I think our first priority is to support Dundee Industrial REIT to become a bigger and more liquid vehicle. And we don't think we are there yet, but sometime in the future I would expect that we'll have good opportunity, we’ll look at our balance sheet, we’ll look at the look at the cost of equity and debt, and say not the best thing we can do it shows in the industrial REIT units and reinvest that money and some of its more of a long-term asset.
Unidentified Analyst: Thank you.
Operator: Does that answer your question?
Unidentified Analyst : Yeah, thank you.
Michael J. Cooper: Thank you. 
Ana Radic: Thank you.
Operator: Mr. Cooper that was our last question.
Michael J. Cooper: Thank you very much Marielle, thank you everybody for listening in and once again we appreciate your continued interest in our business. If you have any follow-up questions please do not hesitate to call Marielle, Ana or myself. Thank you very much. 
Operator: Ladies and gentlemen, we thank you for your time and attention this webcast is now concluded.